Operator: Welcome to the United States Steel Corporation Third Quarter 2014 Earnings Conference Call and Webcast. (Operator Instructions) As a reminder, today's conference is being recorded. I would now like to turn the conference over to our host, General Manager of Investors Relations, Mr. Dan Lesnak. Please go ahead.
Dan Lesnak: Thank you, Shannon. Good morning and thank you for participating in US Steel Corporation's third quarter 2014 earnings call webcast. For those of you participating by phone, the slides included on the webcast are also available under the Investors section of our website at www.ussteel.com. And we've also added a question-and-answer thoughts in addressing frequently asked questions to our website for your reference. On the call with me today will be U.S. Steel President and CEO, Mario Longhi; and Executive Vice President and CFO, Dave Burritt. Following our prepared remarks, we'll be happy to take your questions. Before we begin, I must caution you that today's conference call contains forward-looking statements and that future results may differ materially from statements or projections made on today's call. For your convenience, the forward-looking statements and risk factors that could affect those statements are referenced at the end of our release and are included in our most recent annual report on Form 10-K and updated in our quarterly reports on Form 10-Q in accordance with the Safe Harbor provisions. Now to start the call, I would turn it over to our CFO, Dave Burritt.
Dave Burritt: Thank you, Dan. Good morning, everyone, and thank you for joining us. Turning to Slide 3, we reported income from operations for our reportable segments and other businesses of $479 million. This is our highest segment income since the third quarter of 2008 when hot-rolled coil prices were at record high levels of $1,075 per ton. These strong results were driven by an excellent operating performance at our flat-rolled facilities as our operators worked exceptionally hard to recover from the difficulties we faced in the first half of the year as well as solid contributions from our tubular and European businesses. We're impressed by and appreciative of the tremendous efforts from all of our employees who are focused on disciplined execution of projects that deliver value to our customers. In addition to the strong performance in our flat-rolled segment, we saw improved results in tubular and our European segment delivered better results than we would have normally seen in what is typically the weakest quarter of the year in Europe. While our operating difficulties in North America in the first half of the year made it difficult to see the results of our Carnegie Way transformation efforts in our bottomline, it is clear from our third quarter results that the benefits are real, they are substantial and we are establishing an improved level of earnings power for our company. Looking at where we are through the first nine months of the year, our segment operating income has more than tripled compared with the last year. Our adjusted EBITDA is well over $1 billion and our adjusted earnings per share of $2.68 is already above the current full year consensus estimates. While market conditions this year have been slightly better than last year, a significant portion of our improved earnings are the result of our Carnegie Way efforts, more than offsetting the unfavorable impacts of all of the operating and logistical issues we have faced this year. We are however only in the early days of the multiyear transformational journey. Now turning to cash flow on Slide 5, we continue to be focused on cash and strengthening our balance sheet. In the last nine months, we have generated over $1.2 billion in cash from operations and at the end of the third quarter, we had over $1.2 billion in cash on our balance sheet. Our cash decreased from the end of the second quarter as we're rebuilding our steel inventories for the coming winter and we made $140 million voluntary contribution to main defined benefit pension plan. Our net debt has decreased by over $1 billion this year, as we repaid over $320 million of debt in March and our cash balance has increased by over $650 million. A strong cash position, substantial liquidity and an improved balance sheet will keep us positioned to invest in our facilities and support our increasing focus on innovation and technology as we grow our research and development capabilities to support the development of the steel solutions that will create value for both our customers and our stockholders. As we earn the right to grow, we become better positioned to take advantage of profitable growth opportunities as they arrive. Dan will now provide additional details about our third quarter segment results.
Dan Lesnak: Thank you, Dave. Our flat-rolled segment had operating income of $347 million in the third quarter. This significant improvement in results in the second quarter was primarily due to higher shipments and increased operating efficiencies as our plants ran well and we returned to more normal operating levels. Growing Carnegie Way benefits and lower energy and repair and maintenance costs also contributed to these strong results. Our tubular segment had operating income of $69 million in the third quarter. Tubular results improved as compared to second quarter despite lower shipments. We benefited from increasing market prices and an improved product mix as seamless shipments increased and we shipped less welded line pipe after the indefinite idling of our McKeesport facility during the third quarter. Shipments were also affected by the indefinite idling of our Bellville facility in the quarter. Our European segment had operating income of $29 million in the third quarter. Results for our European segment decreased as compared to second quarter as we completed scheduled caster and blast furnace maintenance projects. The unfavorable effects of lower shipments and higher maintenance and repair costs were partially offset by lower raw materials costs primarily for iron ore. Now I'll turn the call back to Dave for some additional comments on our Carnegie Way transformation.
Dave Burritt: Thanks, Dan. As promised, we will update you every quarter on our progress on the Carnegie Way transformation. Turning to Slide 9, we have continued to make progress as our pipeline of value-creating projects has grown and we continue to focus on the disciplined and systematic execution and implementation of these projects. Carnegie Way benefits now total $495 million for 2014. In July, we had reported that our total Carnegie Way benefits for 2014 would be $435 million, which included the full year benefit associated with projects at our Canadian operations. Adjusting that amount to reflect the de-consolidation of our Canadian operations as of September 16 reduced our 2014 benefits to $410 million. During the third quarter, we implemented new projects and that will improve our results by an additional $85 million in 2014, getting us to the new total of $495 million. These benefits primarily include improvements in our manufacturing processes, supply chain and logistics and SG&A reductions. A few examples of some of the projects include logistics improvements and the delivery of coal blends at our Clairton Works coal making operations resulted in about $7 million of annual improvement in coal delivery cost. Reduced product yield loss on the 84-inch pickle line at Gary Works resulted in about $9 million of improvement. And energy savings related to more efficient operation of the reheat furnaces at the Gary Works hot strip mill resulted in annual savings of about $7 million. There are thousands of projects that in aggregate deliver substantial benefits that are getting us to the results we have achieved so far. Again, this increases our total Carnegie Way benefits to be realized in 2014 to $495 million. I would once again like to emphasize that these are not targets or objectives. They are not speculative. These are the results of projects and improvements that have been implemented. As I noted earlier, our strong third quarter results reflect the real improvement in our earnings power created by our Carnegie Way transformation. Now on Slide 10, I'd like to provide an update on our Carnegie Way transformation process. As we have discussed in the past, the Carnegie Way is focused on value creation through a disciplined and structured improvement process with the objective being to earn an economic profit throughout the economic cycle and deliver above-market returns to our stockholders. We have made some difficult decisions regarding some of our businesses and facilities and we continue to make improvements in our cost structure, but we still have more opportunities ahead of us. We are now in the process of implementing a new management structure designed to achieve three strategic goals: one, to better collaborate with customers to create and deliver smarter and more innovative solutions for the markets we serve; two, provide focus to Carnegie Way projects within the operating units including reliability-centered maintenance, process technology excellence and continued commitment to safety and quality; three, create stockholder value and continue earning the right to grow by creating clear and more focused accountability for our business leaders. This management structure does not affect reporting segments as they currently exist. The company will continue to have our three reportable operating segments of North American flat-rolled, tubular and US Steel Europe. So you can expect the same segment reporting as in the past. The management structure provides a greater degree of accountability and provides leaders with a more in-depth focus necessary to drive successful execution of our business goals, and we will be sharing more details with you in the future as this new structure develops and becomes the way we do business. And now, I will turn it over to Mario to cover several important areas.
Mario Longhi: Thank you, Dave. Good morning, everyone. In addition to the changes in our commercial approach and management structure that Dave just described, I would like to discuss a very important initiative we are undertaking across all of our operations. Our third quarter results show the significantly favorable impact on our results when we operate our facilities well, just as events earlier in the year reflect the unfavorable and disruptive effects of unplanned outages. We're implementing a reliability-centered maintenance or RCM process across all of our facilities. RCM is a structured and disciplined approach based on doing the right maintenance, the right way and at the right time to increase the consistency and reliability of our operations. Maintenance spending is a significant piece of our cost structure and creating more efficiency in our maintenance practices by moving from a reactive approach to a proactive approach, we will reduce our maintenance costs over the long term. The benefits of an RCM program go beyond just improving the efficiency of maintenance spending. Following a structured program reduces the uncertainty and pressures associated with emergency repairs reduces the risks to our employees and improves the safety of the working environment. The improved facility reliability that comes from an RCM process will enable us to be much more effective in our production planning and facility loading. Our commercial organization will have better visibility to determine what orders are most attractive to us and our customers will benefit from improvements in our quality and delivery performance. While it will take a couple of years to fully implement a strong and effective RCM program across all of our facilities, the improved earnings power that comes from this will produce real value for all of our stakeholders. Turning to Slide 11, I would like to touch briefly on the strategic actions we announced last month. We have decided not to proceed with an expansion of our iron ore pellet operations at our Keetac facility and terminate the carbon alloy project at Gary Works. We're comfortable with our raw materials capabilities in North America and eliminating the potential spending that would have been required for these projects put us in a better position to pursue other projects, including further development of the advanced high-strength steels for our automotive customers to continue to develop premium connections for our tubular customers and to invest in our facilities and modernize our operations, including adding electric arc furnace steelmaking into our operating footprint. Our subsidiary, US Steel Canada, filed for and was granted protection under the Companies' Creditors Arrangement Act or CCAA in Canada on September 16 and was de-consolidated from our books that day. Under the CCAA process, US Steel Canada will participate in a court-supervised process to negotiate a restructuring with its stakeholders. Subsequent to this filing, the court approved debtor in possession financing for US Steel Canada and US Steel Canada entered into a new labor agreement with the United Steel Workers Local Hamilton that expires now in 2017. This new labor agreement and the financing provide a sustainability and stability that will allow US Steel Canada to continue to operate while restructuring negotiations proceed. Now before we take your questions, I would like to give a brief summary of what we are seeing in our markets and our guidance for the fourth quarter. In North America, automotive demand remains strong, but we have experienced difficulties in order rate trend in several of the longer lead-time end-user markets that we serve, which is why we have undertaken several blast furnace maintenance projects this quarter. While we remain optimistic about steel consumption trends in North America, the large surge of imports into this market, which we continue to monitor, somewhat tempers this optimism. In the tubular markets, we currently do not expect lower energy prices to have much effect on US drilling programs in this quarter as most operators are still expecting a strong finish to the year. Operators will remain focus on drilling horizontal wells in unconventional basis containing crude oil or natural gas liquids in low-cost dry gas areas like the Marcellus. However, there is a turmoil in the crude oil markets, could have an impact on the level of drilling activity as we move into the new year. Turning to our guidance for the fourth quarter, we expecting segment income from operations to be lower than the third quarter due primarily to a large increase in maintenance and repair cost in our flat-rolled segment related to a reline of one of the blast furnaces at our Mon Valley Works and planned blast furnace maintenance projects at Granite City and Great Lakes. We expect flat-rolled shipments to be as much as 10% lower than the 3.2 million tons we shipped in the third quarter, but we still expect our flat-rolled segment results to be more than $100 million and we expect improved results in both our tubular and our European segments.
Dan Lesnak: Thank you, Mario. Shannon, can you please queue the line for questions.
Operator: (Operator Instructions) The first question is from the line of Sal Tharani with Goldman Sachs.
Sal Tharani - Goldman Sachs: Mario, so far most of your Carnegie Way has been in the operations side and it shows in the results of the third quarter, but I was wondering you also alluded to now doing something on the commercial side. I was wondering if you could give us some color what do you mean by that, and would that be something we'll see in your average realized price or volume? Where would that be that that impact will show up once you start implementing that portion of your Carnegie Way?
Mario Longhi: We are going to create some restructuring in the organization both for marketing and commercial activity, Sal. And we are in a process of finalizing the details for implementation. It will probably materialize more in earnest as we move into the first quarter. But I think the focus in simple terms is we're going to have a much more in-depth ability to analyze how we're serving our customers, and different segments are different in nature and therefore we need to provide a lot more focus for each and every one of those. There will be an assignment of specific groups and teams that will focus on those segments. And therefore, they are going to be able to better understand and translate the needs of those different segments and customers into the next phase of our realignment with operations, R&D and technical support are going to have to be put in place, so that we can create improvements in that arena. This is the basic concept that we're going to be working on moving into the first quarter.
Sal Tharani - Goldman Sachs: And in the past you have alluded that you needed ERP implementation fully done before you can take big commercial projects or commercial changes. I was wondering where are you in the implementation of the ERP system.
Mario Longhi: That's true, Sal. We are two-thirds done in the flat-rolled side of the business, and we've begun the implementation on the tubular side, which will take a few quarters for it to be fully completed. But what we have in place right now including all of the support areas, capabilities that have been put in place are already enough, so that we can then provide the better focus from a commercial marketing standpoint and begin to have better analytics that will lead to this solution that we're looking for.
Operator: The next question comes from the line of Tony Rizzuto with Cowen & Company.
Tony Rizzuto - Cowen & Company: You guys are hitting profit levels that you haven't achieved since 2008. And I was wondering in the context of Carnegie Way, could you comment on your ability as a company to withstand the period of lower prices? In other words, do you think you've lowered your breakeven points sufficiently to remain significantly profitable over the business cycle?
Mario Longhi: Tony, I just want to begin by reemphasizing to you that this is a journey is not something that we're in a simple quarter-on-quarter concludes the effort. And what we're beginning to see right now is that the efforts that we're putting in place when we have a more stable environment, the power of earnings really increases, and that's what we're pursuing. We're not done with what we need to do, but I think the signs of the power of the approach are beginning to show. We're going to keep at it and the goal definitely is to be able to deliver economic profit even in tougher environment.
Tony Rizzuto - Cowen & Company: With the fuller implementation of the ERP system and better measurement capabilities, is it possible that you could even see an acceleration of the Carnegie Way savings or would that be an unfair assessment?
Mario Longhi: No, I think it is possible. But the key when you move into these transformational efforts is that you have to keep a cadence that gives full sustainability to everything you do. And I think this is one of the element that we very carefully look at. We make sure that everything that we're doing we can keep counting on, and that cadence is one of the secrets as to how these things can continue to evolve with solidity into the future.
Operator: The next question comes from the line of Evan Kurtz with Morgan Stanley.
Evan Kurtz - Morgan Stanley: So you guys are going to generate a lot of cash this year and you talk about earning the right to grow. Seems like you could at some point pretty soon at least put some of that to work, given the liquidity you have right now on the balance sheet. So one of the things that probably intrigues me the most is that you've mentioned a few times now that you're looking at more EAF capacity. And I was just wondering if you could maybe expand on that a little bit and kind of talk to us maybe how far do you see that going. Could this be a company with a footprint that is some day half-half or where do you see that going?
Mario Longhi: Well, I won't give you a percentage, because we don't have that clearly defined yet, but I can guarantee you that we're not going to sit on only one in the one that we have defined. Now this footprint will be coupled to the better understanding that we will have of the markets, the trends, the needs out there and the changing world that we're in. So these commercial entities that will be created, they will help us capture a much better and profound understanding of how many of those we're going to need to have, but certainly it's going to be more than one.
Evan Kurtz - Morgan Stanley: And then maybe just something more specific. I understand a lot of the coal contracts have been concluded for 2015 and I was hoping you can maybe offer some insights into you how those are shaking out and what sort of benefit they can provide next year.
Dave Burritt: I think we're going to stick pretty much with our standard practice that those type of things, we will give you our '15 guidance in January until we really get our 2015 business plan fully in place. It's probably premature to really start giving guidance for what's going to happen in '15 on some of those longer-term things that we do tend to guide on in January.
Operator: The next question comes from the line of Luke Folta with Jefferies.
Luke Folta - Jefferies: I guess first question just in the ongoing quest to try to get to a normalized maintenance number. It seems to me that the outages that you're doing at Great Lakes and at Granite City are probably more along the lines of something that would be sort of a typical work that you do annually. But the Mon Valley reline is a longer-term project it seems. First, is that a good characterization? And can you give us some sense of what the Mon Valley piece of that is specifically from a cost perspective?
Mario Longhi: You're right. Your assessment of the projects is correct. I don't have a breakout, but certainly a reline is a much, much bigger event. That project started in September. It will wrap up sometime in the first half of November. The other projects are shorter term. In fact, the Granite City project is being completed. We're in the process of bringing that back on. The Great Lakes will also be done sometime early in the November here. But your assessment is correct. You have relines much less. You do have with coal blast furnaces some pretty regular maintenance across time.
Luke Folta - Jefferies: Just to get it close, could it be as much as two-thirds of the total maintenance increase? Is that the right scale to think about?
Mario Longhi: Those three projects will be driving the big difference quarter-over-quarter, absolutely.
Luke Folta - Jefferies: In terms of the pension and OPEB impact from the US Steel Canada consolidation, guys, obviously see how the balance sheet is impacted. But what do you expect sort of ongoing pension and retirement benefit expense to be, given the new structure?
Dave Burritt: Well, it's given in the back of the slide deck. We've given some update for what this year's impacts will be. Next year, until we do our re-measurement of our plants again for the year, that's what really determines where next year's cash expenses are, and that really depends on what market returns are for the balance for the whole year and what interest rates are at that point in time. So I think looking at some stock markets is anybody's guess what returns are going to be by the end of December. But certainly, we did carve out for you at least an update on guidance to reflect the change we see from that part of the year we got to have in Canada from September 16 forward.
Luke Folta - Jefferies: Just lastly on the EAF investments, looking forward, should we think about this as any EAF investment that you make being to replace blast furnace BOF capacity? Or could we see a situation where you actually expand the footprint by adding an EAF operation somewhere? And if that's the case, where do you think the opportunities could be in terms of that side of the business?
Mario Longhi: Well, in principle, the first line of assessment will lead to a replacement of capacity, Luke. The more that we learn from these new commercial entities, there may be an opportunity for something else. But at this point, it's mostly capacity replacement, not addition.
Operator: The next question is from the line of Brett Levy with Jefferies.
Brett Levy - Jefferies: In the event of another kind of polar vortex type winter, have you guys got any plans to kind of move more raw materials to your mills? Is there any working capital assessment that we have to sort of adjust to reflect the fact that maybe you're going to be a little bit more cautious about leaving your mills with all the necessary raw materials before the lakes freeze?
Mario Longhi: Very definitely, Brett. Historically over a decade, the locks would shut down for an average for 62, 63 days. This past winter, they shut down for almost 145 days. And certainly nobody knows whether this is a norm of what it's going to be, but we are definitely preparing our operations for a longer period of shut-down of the locks, and we are doing it not only by moving more pellets down south, but we're also increasing our semi-product inventory. And all of this will consume an additional level of cash that should help us better prepare us for a tough winter. But it certainly is not going to be for a full 145 days until we know better.
Brett Levy - Jefferies: And what would be the working capital estimate associated with it?
Dan Lesnak: Well, on the pellet side, it's really not a change for the pellets, because it's just a location of pellets more than anything. Until we get a better reason of how many slabs we're going to build, it's hard to say. I don't think it'll be anything that's going to be that dramatic as far as where we are in relation to our cash balance.
Operator: The next question is from the line of Matt Murphy with UBS.
Matt Murphy - UBS: Got a question on CapEx. You've talked about earning the right to grow. In terms of your planning on Carnegie initiatives, do you see a shift coming in terms of with the focus to date being on cost out? Are there more projects where you're looking at CapEx? It's been running really low, so I'm not sure if you can give on 2015 if you see CapEx step-up? Does the RCM system you're planning require CapEx?
Mario Longhi: We don't have finalized plans for '15 yet. But I can tell you that one of the reasons CapEx for this year has been running lower is because many of our folks found alternatives to improvement that did not necessarily require more capital. Some projects fell off of the list. And for next year, actually our Board has just approved two strategic projects, one on the tubular side and the EAF has been finally approved and we're in final stages of negotiations to conclude some additional odds and ends over there. But we expect, I think, Jan will directionally correct, we're going to have more spending on CapEx into 2015.
Matt Murphy - UBS: And then just on the import front, I'm just wondering if you can provide any color on what timeline you guys are thinking might be right to considering a trade case? I mean do your quarterly results factor into your thinking on timing or is it more about collecting data on importers?
Mario Longhi: We're always collecting data on that, that's for sure, and we're going to be supportive of every effort in order to curb inappropriate dumping into the country.
Operator: Our next question is from the line of Curt Woodworth from Nomura.
Curt Woodworth - Nomura: Mario, could you talk about what the next steps are in Canada? Is there a sale process underway from those assets and would you like to participate in that? And in the event that you don't, would you likely be moving away from that asset and then feel like you're going to free up a fair amount of iron ore pellet capacity? What would be the strategy to leverage that position on the merchant basis?
Mario Longhi: Well, the process that is in place is to help the USS Canada Board of Directors and local management to engage in the negotiations necessary for the restructuring. It's really their call. And we have absolutely no influence in how some of those decisions will be made.
Curt Woodworth - Nomura: And then on the iron ore side in terms of freeing up potential merchant pellet capacity, obviously that would fit in with an EAF strategy as well. Can you just talk about that potential?
Mario Longhi: Absolutely. One of the things for next year will be a review of efficiencies coming out of the ore range, and more detailed and specific exploration plans that should deliver productivity improvements. And according to our base analysis, there might be some opportunities for commercialization of ore. And we're still looking very carefully at the DRI opportunity. So I think that there may be something there and we should be able to identify with more specificity going into next year.
Operator: The next question is from the line of Jorge Beristain with Deutsche Bank.
Jorge Beristain - Deutsche Bank: Mario, I guess my question is first on raw materials. Your recent plans to cancel some of your own potential expansion needs in iron ore, how should we interpret that? Is that because you do view taking the company in the direction of electric arc furnaces in the future, therefore may not need the iron ore? Or is it that possibly because of the changes we've seen in the supplier landscape in the US, you may be able to source iron ore just as competitively from third parties and so you're looking at kind of disintegrating, if you will, on the back-end a little?
Mario Longhi: The context has to be looked at in whole. Certainly we're very comfortable from a supply perspective with what we got. I think the efficiencies we're going to be funding will be more than enough to grant us comfort in everything we do. I think you've seen volatility before, and I'm sure that that's going to continue. But overall, you got to keep looking at the context.
Jorge Beristain - Deutsche Bank: My other question just had to do with specifically for Cliffs. They've been announcing a plan up in Canada to potentially bring in a steel mill partner to do an off-take with their Bloom Lake. Could you comment if you've been approached for that project or negate if you have any involvement at all?
Mario Longhi: I don't have any comment on that.
Operator: The next question is from the line of Phil Gibbs with KeyBanc Capital Markets.
Phil Gibbs - KeyBanc Capital Markets: I had a question on the Carnegie savings coming through this year. I think $485 million was your recent number. How do we think about that into 2015 on an annualized basis, because I know those benefits will largely stagger through the year? So it's probably more on an annualized level, but clearly you had what you had this year.
Dave Burritt: Phil, actually the number if $495 million. I think we kind of view that as we look at some of the other longer-term guidance speeches we give, we're going to have more come on in the fourth quarter. So the ultimate 2014 number is still to be determined. I think we're more comfortable that when we hit January, we'll give you the incremental difference off of '14 as a new base year. And as we go through '15, we'll keep on adding an update each quarter on the other new projects that come on.
Phil Gibbs - KeyBanc Capital Markets: As far as the maintenance spend per quarter, I think Luke asked a little bit about this, but just trying to get a handle on where you're at right now from sort of an annualized level and where you could be over time with these new initiatives that you're putting in place?
Dave Burritt: I think we're placed safety. Until we see our 2015 business plan, it's hard to say. I think this year is coming is reasonably comparable to the last couple of years in total. So as we move into the RCM that Mario talked about, you could have some upfront spending to get to a better place. And then you trade off these over the long term, you create a more efficient platform. So until we get more clarity on '15 and the pace of RCM implementation, we probably are away from giving that kind of maintenance guidance yet. But our expectations over the long term, the RCM definitely will have a favorable impact on maintenance.
Phil Gibbs - KeyBanc Capital Markets: Dave, I just had a housekeeping item, because I know the tax rate can bounce around. Do you have thoughts on what that could be moving forward and how to think about that?
Dave Burritt: No. If you look at our tax, we do have one item that gives us a benefit on an ongoing basis and that's depletion related to our mining operations. So that's one consistent item that would help us be below statutory. But other than that on the kind of transition we're in, we're probably likely to have of essence discrete items along the way. So we'll probably take up a whole lot more than that.
Operator: The next question is from the line of Brian Yu with Citi.
Brian Yu - Citi: You guys did great $347 million in the flat-rolled business and then with Canada stripped out, we get a normalized number of $367 million. Maintenance expense could be up $150 million. So there were less, about $217 million before I guess any changes in market conditions and pricing. And I was wondering if that's the right way to think about it, because you've still obviously a lot higher than the at least $100 million you guys guided to?
Dave Burritt: I think what we guided to is we're going to see about 10% reduction in shipments in that range. That's a pretty significant number that certainly has an impact on your results. I think that gets back to operating efficiency. It will be above and beyond that $150 million-change just related to maintenance.
Brian Yu - Citi: So $150 million is purely for the spending itself and not necessarily capturing any of the negative scale just for the quarter?
Dave Burritt: Right, yeah.
Brian Yu - Citi: Are you guys still supplying iron ore to the Canadian operations and how should we think about profit associated with those shipments?
Mario Longhi: Yes, we remain a supplier to the Canadian operations, Brian.
Brian Yu - Citi: Is there a way for us to try to fit that? I believe that falls into your other segment. I was wondering if you might be able to guide us in how we might think about the price mechanisms and associated margins?
Dave Burritt: Brian, that actually is in our flat-rolled segment, the mining business. It stands now with USS Canada, being there in their own entity to de-consolidation. Any transactions we have with them will be at arm's length. So they'd be market-based.
Brian Yu - Citi: Can you say what the benefit in the quarter was just for those days that they were de-consolidated?
Dave Burritt: No, I haven't seen that kind of breakdown. It was about two weeks into the quarter really that they were de-consolidated.
Operator: The next question is from the line of Andrew Lane with Morningstar.
Andrew Lane - Morningstar: Could you provide an update as to where you stand with the permitting process for the proposed EAF at Fairfield? Are you still aiming to initiate production in 2017? And then also, would you be able to provide an update on your exploration of the viability of DRI production? Are we still in the early innings there or have you developed a more specific plan that you'd be willing to discuss?
Mario Longhi: Yes, the EAF plans remain on track and we should be starting in '17. And you're also right on the DRI. We're still in the early stages. There is enough change in nuances to this opportunity that we're still trying to carrel and identify the full viability of that. But progress is also on track, even though it's early stages.
Andrew Lane - Morningstar: In your prepared remarks, you mentioned a return to normal operating levels. Is this just a reference to shipment volumes and utilization rates? Are you also indicating that third quarter profitability levels reflect a normalized level that you might expect in a mid-cycle environment?
Mario Longhi: No, the comments, Andrew, were really related to operating levels. Its reliability, consistency, better quality, it's solely operational.
Operator: The next question is from the line of Nathan Littlewood with Credit Suisse.
Nathan Littlewood - Credit Suisse: I was just interested in chatting a little bit about a rather interesting announcement you had a few weeks ago, the appointment of Debbie Shon as Vice President of International Trade & Global Public Policy. Now, Dan, you and I did talk about this at the time, but I was just interested in getting a little bit more color from Mario, if I could, on Ms. Shon's mandate. Maybe you could talk a little bit about her KPIs, under which she has been engaged or employed. And essentially what you're going to have her working on for the next year or two?
Mario Longhi: As a matter, we have our legal counsel, Suzanne Folsom, here with us today, so I'm going to defer to her and Debbie will report directly to her. So you're going to get an answer from source.
Suzanne Folsom: Debbie Shon is a leading trade expert. She worked privately as well as she served USTR under President Clinton's administration. And we're very lucky to have been able to convince Debbie to come in and join US Steel team. The reason that we went out to seek Shon is firepower, trade areas that we have typically as has many of the companies in this industry rely primarily upon our outside counsel with respect to handling our trade issues. And we made a decision that we wanted to have in-house capabilities as well. So Debbie has joined legal governance in-house department, which I'm responsible for, and she is directing our trade activities in Washington from in-house as opposed to from outside the company. We still have our outstanding legal outside advisors, but we wanted to be closer to our trade issues.
Operator: The next question comes from the line of Timna Tanners with Bank of America.
Timna Tanners - Bank of America: Along those lines, I just wanted to revisit the tubular issue now that you did get some recourse against the (inaudible). And maybe it's too soon, maybe you can comment on this, the volumes are still a little high coming from them, but you certainly did get a nice price response. So are you looking for both price and volume benefits? Are you content with the price benefit? How do you see kind of now looking back at it, how this worked out?
Mario Longhi: We certainly would look forward to better benefits from what we accomplished. But I think the fact of the imports continue to pour in validates one of the critical point that we addressed in the cadence. Some of these people have designed their business to attack the United States market. And I think what we're seeing right now is a validation of that principle.
Timna Tanners - Bank of America: But you could pursue further recourse if you decided to then down the road if they come, it's onerous, is that what I am interpreting from your comment?
Mario Longhi: Yes.
Timna Tanners - Bank of America: In your guidance for flat-rolled, you mentioned lower volumes, so lower fixed cost leverage. You also mentioned outages and you mentioned some pricing weakness. But your pricing has been really consistent throughout the year. And as I review Page 19, you only have about, what, maybe 40% exposure to spot. So how much of your variability on the outlook for the fourth quarter has to do with the price of steel and maybe other things that you're more concerned about? If you could give a little more color on that.
Mario Longhi: The maintenance and volume are the two biggest drivers. You're right, we will see some flow-through of the recent downturn in spot on our spot tons. It probably maybe gets into some of the monthly adjustables by the end of the quarter. But I would say our perspective is the biggest drivers are definitely are change in volume and the change in maintenance.
Operator: The next question is from the line of Justine Fisher with Goldman Sachs.
Justine Fisher - Goldman Sachs: I was hoping that you could give us a little bit more color on the OCTG business and the potential impact of lower oil prices. And I know it's probably not the right question to ask a company how bad it can get, but we're getting that question a lot from people now. And so I was wondering if you guys can walk us through maybe particular product lines that you think might be more affected or not, what contracts you might have in OCTG and whether or not you think any decline in demand that happens in 2015 might affect imports more than domestic. How should we think about the moving parts as far as the impact on your business?
Mario Longhi: Well, you should keep track of what's going on very carefully, because it's volatile. Right now if you look into the US and North America, for example, the number of rigs working for oil and gas, they have increased and they're still at a good level. I do not think that the operators will make a need to jerk reaction on the fact that there has been a significant drop in prices for now. As a matter of fact, many operators still validate new projects on $80 oil. So I think that folks are certainly looking carefully at that. THE lower prices are going to impact the economy on the other hand positively. So there will be more consumption. People will have more money to spend. And therefore, I think we are at a transitional moment that is going to take a little bit of time for people to sort out exactly where this is going to go.
Operator: The next question is from the line of Gordon Johnson with Axiom Capital.
Gordon Johnson - Axiom Capital: Just going back to, I guess, the breakeven question, it looks like the guidance for Q4 suggests earnings could see a sizeable fall from Q3, and I guess you guys said that some of that's related to price and some of that's related to volume. Is there any way you guys can give us a specific breakeven point that we should think about with respect to HRC prices and your earnings?
Dave Burritt: It so much depends on the health. In fact, the HRC prices move up and down, the timing on how it would affect contracts, whether they're short-term adjustments or long terms. It just is so dependent on the flow. Rapid increase and decrease in HRC could have very little impact. It's more gradual. It could be bigger. But that's just such a long cord, because it's so dependent on timing and pace.
Gordon Johnson - Axiom Capital: There's been some rumors that there could be some trade cases in the CRC and HRC space. But when we look at October steel imports thus far, it looks like HRC imports are up 82% month-over-month. So it seems like the foreigners at least expect or don't think there is going to be a trade case. Can you guys give us any update there with respect to potential trade cases on HRC imports?
Mario Longhi: Well, the assessments required for validation of a trade case are not simple, nor small. And therefore, the analysis, they continue. And every time that we come to the conclusion that we do have everything that is required, we are going to go and we're going to go way after these malpractices. All of that we just want is a fair playing field. And we'll continue to aggressively pursue these cases and address these issues with the US government.
Operator: Our final question is from the line of Evan Kurtz with Morgan Stanley.
Evan Kurtz - Morgan Stanley: I just have been thinking on this R&R commercialization potentially, some of your suppliers have unlocked a lot of value through MLPs. We've seen it on the coke side and on the coal side as well. And I was wondering have you thought about perhaps structuring the iron ore business into some sort of an arrangement where you have long-term contracts and could potentially drop some of those assets in MLP?
Mario Longhi: We have looked at that repeatedly, iron ore, coal, coke, whatever. We just never saw the economics making sense for us, because when you're the primary consumer almost the entire output, that changes the economics. And we really have a good mechanism for growth. We're really focused on our primary business of making steel, making steel profitably.
Mario Longhi: Before we sign off here, I'd like to acknowledge the hard work of our employees and their extraordinary efforts to improve our company, while they remain fully committed to our core values and ethics, integrity and safety. Slowly, but surely, we believe that all of the initiatives being pursued will make a stronger, better positioned to serve our customers and will provide for a better and safer workplace for all of our employees. I really want to thank you for joining us today and for your continued interest in the US Steel. We look forward to updating you on our Carnegie Way journey again in January. Thank you so much.
Dan Lesnak: Thanks for participating, everybody.
Operator: Thank you. Ladies and gentlemen, this conference will be available for playback on the AT&T digitized replay system beginning at 10:30 AM Eastern Time today running through Wednesday, November 12, 2014, at midnight Eastern Time. You may access the AT&T playback service by dialing 1-320-365-3844 and entering the access code of 338903. Once again, this conference will be available for playback beginning today at 10:30 AM Eastern Time running through Wednesday, November 12, 2014, at midnight Eastern Time. You may access the AT&T playback service by dialing 1-320-365-3844 with the access code of 338903. That does conclude our conference for today. Thank you for your participation and ffor using the AT&T. You may now disconnect.